Operator: Good day, everyone. Welcome to the conference call covering NBT Bancorp Inc.'s First Quarter 2025 Financial results. Call is being recorded and has been made accessible to the public in accordance with the SEC's regulation FD. Corresponding presentation slides can be found on the company's website at nbtbancorp.com. Before the call begins, NBT's management would like to remind listeners as noted on slide two, today's presentation may contain forward-looking statements as defined by the Securities and Exchange Commission. Actual results may differ from those projected. In addition, certain non-GAAP measures will be discussed. Reconciliation for these numbers can be found within the appendix of today's presentation. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Instructions will follow at that time. As a reminder, this call is being recorded. I will now turn the conference over to NBT Bancorp Inc.'s President and CEO, Scott Kingsley, for his opening remarks. Mr. Kingsley, please begin.
Scott Kingsley: Thank you, Kevin, and good morning, and thank you for joining us for this earnings call covering NBT Bancorp Inc.'s first quarter 2025 results. With me today are Annette Burns, NBT's Chief Financial Officer, Joe Stagliano, President of NBT Bank, and Joe Andesco, our Treasurer. Our operating performance for the first quarter reflects our diversified business model and strong collaboration by our team. Operating return on assets was 1.11% for the first quarter with a return on equity of 10% and ROTCE of 14%. Certainly not records for us, but each metric demonstrates continued improvement over the length and prior year quarters and importantly reflects the generation of positive operating leverage. We diligently grew earning assets and lowered funding costs, which improved net interest margin for the fourth consecutive quarter. Non-interest income continued to be a highlight making up 31% of total revenues for the quarter, with each of our non-banking businesses achieving productive improvements in both revenue and earnings generation. We have added over $100 million to shareholders' equity in the past fifteen months from productive earnings generation while also paying a higher level of dividends adding to our already desirable levels of capital flexibility. Turning to updates on our growth strategies. We continue to see activity across upstate New York's semiconductor chip corridor including news about site-specific milestones related to Micron's planned complex outside of Syracuse. Team members at NBT are engaged in supporting our customers and communities in participating in the growing ecosystem around semiconductor and advanced electronics manufacturing in our markets. Our ability to provide financial services to those living and working along the chip corridor will only be enhanced by the merger of Evans Bancorp into NBT in early May. Last September, we announced our partnership with Evans. In December, we received all the regulatory approvals required to move forward as well as approval from Evans shareholders. Our integration team is poised to complete our core systems conversion next weekend after we close the merger at the end of the day on Friday, May second. As a result, we will welcome over two hundred Evans employees and more than forty thousand customers to NBT. Adding the Buffalo and Rochester markets is a natural extension of our footprint in Upstate New York, and we look forward to building on the relationships Evans has established with customers, communities, and shareholders. At this time, I'll turn the meeting over to Annette to review our first quarter results with you in detail. Annette?
Annette Burns: Thank you, Scott, and good morning. Turning to the results overview page of our earnings presentation. In the first quarter, we reported net income of $36.7 million or $0.77 per share. Excluding merger costs and securities losses, our operating earnings per share were $0.80. An increase of $0.03 per share compared to the prior quarter. Revenues were up 4.4% from the prior quarter and almost 12% from the first quarter of the prior year. Driven by improvements in both net interest income and fee-based revenues. Tangible book value per share of $24.74 as of March 31st was up $0.86 per share from the end of the fourth quarter of 2024 marking another all-time high for NBT.
Scott Kingsley: The next stage shows trends in outstanding loans,
Annette Burns: Excluding the other consumer and residential solar portfolios, that are in a planned runoff contractual runoff status. Loans increased $40 million or 1.8%. Our total loan portfolio of $10 billion remains very well diversified and is comprised of 53% commercial relationships and 47% consumer loans. On page six, total deposits of $11.7 billion were up $162 million from the linked fourth quarter primarily due to the inflow of seasonal municipal deposits during the quarter. Generally, in most of our markets, municipal tax collections are concentrated in the first and third quarters of each year. Fifty-eight percent of our deposit portfolio consists of no and low-cost checking and savings accounts, while 42% is held in time and money market accounts. We have included a summary of our deposit mix by type, which illustrates the diversification and deep granularity of our customer base. The next slide highlights the detailed changes in our net interest income and margin. Our net interest margin in the first quarter increased ten basis points to 3.44% from the linked fourth quarter. Primarily driven by the decrease in the cost of interest-bearing deposits. Net interest income for the first quarter was $107.2 million, an increase of $1.1 million above the linked fourth quarter and $12 million above the first quarter of 2024. The increase in net interest income from the prior quarter was primarily driven by a decrease in the cost of deposits which was partially offset by the impact of two fewer calendar days in the quarter. Loan yields decreased three basis points from the prior quarter to 5.62% which was primarily due to the repricing of $2.1 billion in variable rate loans following the prior quarter's federal funds rate decreases. We were able to actively manage our funding costs downward to more than offset that impact as evidenced by the eleven basis point decrease in our total cost of deposits to 1.49% for the quarter. As a reminder, approximately $5 billion of our deposits, principally money market and CD accounts, remain price sensitive. Looking ahead, the opportunity for upward movement in yields will depend on the shape of the yield curve and how we reinvest loan portfolio cash flows. The trends in noninterest income are outlined on page eight. Excluding securities gains and losses, our fee income was $47.6 million, an increase of 12.7% compared to the linked fourth quarter. Non-interest income represented 31% of total revenues in the first quarter reflecting continued improvement and strength of our diversified revenue base. Total operating expenses excluding acquisition expenses, were $98.7 million for the quarter, a 1.1% decrease from the linked fourth quarter. Salaries and employee benefit costs were $60.7 million, a decrease of $1.1 million from the prior quarter. This decrease was primarily driven by lower medical and other benefit costs, and lower levels of incentive compensation, and lower salary expense resulting from two fewer payroll days in the quarter. These increases were partially offset by seasonally higher payroll taxes and an increase in stock-based compensation. The quarter over quarter increase in occupancy expenses was expected, driven by increases in seasonal costs including utilities and higher maintenance costs. Slide ten provides an overview of key asset quality metrics. Net charge-offs to average loans were 27 basis points in the first quarter of 2025, compared to the 23 basis points in the prior quarter. Included in that charge-off was a $2.1 million write-down of a commercial real estate loan that has been in a non-performing status for the past several quarters. The loan was charged down to its updated estimated fair value based on new information received during the quarter. Excluding the $2.1 million write-down, net charge-offs to average loans were 18 basis points for the quarter. Past due loans to total loans were 32 basis points and were in line with the past several quarters. Reserve coverage was 1.17% of total loans and covered more than two times the level of nonperforming loans. We believe that expected balance sheet growth, economic forecast conditions, and continued changes in loan mix will be the drivers of future provisioning needs. In closing, growth in both net interest income and fee-based income drove the generation of the sequential and year-over-year positive operating leverage and contributed to our solid operating performance in the first quarter of 2025. Our continued capital strength has us well-positioned to support organic growth and our other strategic initiatives. Thank you for your continued support, and at this time, we welcome any questions you may have.
Operator: Thank you. Anyone with a question at this time can press star one one on your telephone. Our first question comes from Steve Moss with Raymond James. Your line is open.
Steve Moss: Hey, Scott and Annette. This is Thomas on for Steve. Good morning, and thank you for taking my question.
Scott Kingsley: Morning.
Steve Moss: I just wanted to see, you know, maybe can you share your high-level thoughts on demand for credit in your market? You know, our pipeline is good.
Scott Kingsley: Where are you seeing strength and weakness? And maybe what are some of the things you're hearing from clients anecdotally? Thanks. Tom, it's an excellent question, and thanks for that. So pipelines are good. You know, consistent with the levels we were enjoying most of last year. And in terms of individual markets, very consistent across our footprint. Whether that's Northern New England, Upstate New York, Pennsylvania, Connecticut. So really good pipelines. We acknowledge that macro uncertainties have people asking questions about the timing of certain things. For sure. And generally, I think a little bit more certainty when you're making a capital expenditure or when you're hiring people is always welcomed and certainly always easier. But to date, you know, we haven't seen customers who are abandoning projects, you know, who are looking at the current levels of uncertainties and saying, I'm not sure how to step forward. So I would say pretty consistent and pretty stable and probably pretty in line or requisite with our markets.
Steve Moss: Okay. That's good to hear. And then maybe, you know, shifting gears to the other side of the equation, the supply of credit, you know, how is competition or, you know, what are you seeing in terms of spreads? You know, is pricing remaining rational?
Scott Kingsley: For the most part, I would say, you know, there are certainly episodic situations in some of our markets because we But generally, pretty reasonable, pretty disciplined. You know, might there be a handful of small banks, smaller markets, or thirteen to fifteen branch type setups, somewhere that are competing maybe a little bit outside of our comfortability levels a few times. But not overarching.
Steve Moss: Okay. And then just one more from me. You know, with Evans here set to close shortly, you know, they were a smaller institution. Are you guys seeing, you know, do you have any, do you see opportunities for those bankers to maybe leverage your balance sheet in the near term to expand their client relationships, you know, could help loan growth there. Do you see any potential for that?
Scott Kingsley: Yeah. Absolutely. And, you know, and that was really a piece of our value proposition, you know, when we started speaking with the Evans folks is that ability to use a larger balance sheet so that they can compete or that they could fully cover certain client relationships where maybe the size of their balance sheet forced them to participate, you know, at a sooner at a lower level. So our onboarding process and our transition process with the bankers from Evans is going exceptionally well. It's a really high-quality group of people in Western New York. And as much as I think we'll be defending existing client relationships, you know, after the close of the transaction, I think we'll also have some opportunities for, you know, some assertive growth characteristics relatively soon.
Steve Moss: Great. All of that is good to hear. Again, Scott and Annette, for taking my questions.
Scott Kingsley: Appreciate it, Thomas. Thank you.
Operator: One moment for our next question. Our next question comes from Matthew Reeser with Stephens Inc. Your line is open.
Matthew Reeser: Hey, good morning.
Scott Kingsley: Good morning, Matthew.
Matthew Reeser: Morning. Was hoping we could start just with the CHIPS Act given some of Trump's comments. To Congress, you know, from everything you know, is there any ability or intent to actually rescind or revisit some of the committed dollars and ultimately, do you expect, you know, what was said to factor into any delays for Micron or other chips-related projects?
Scott Kingsley: So let me take a we're running at both ends of those, Matt. Quickly is the are there contractual obligations that the government has relative to the CHIPS Act, relative projects that have been awarded? Absolutely. What have we found in the last four to six weeks is that maybe that matters and maybe it doesn't. So I won't say that there can't be adjustments. Maybe it's not rescinding, there could be adjustment in some of those. That being said, you know, the underlying tone of wanting to, you know, source manufacturing for semiconductor high electronics I think, still resonates with the existing and the current administration. So I think maybe you'll see some rebranding of that and maybe somebody will take credit for renegotiating something and calling it something else. But I think the general tenor is this is stuff we should be manufacturing, you know, in the United States. So to answer that one and I'm far from being able to, you know, answer the legal question relative to, you know, commitments, you know, from a legal standpoint. Your question about timing, we've been reminding of this a couple of times because Micron has pushed back their shovels in the ground timing a couple of times since the original announcement. So I think all of these projects are more company-specific situations. As, you know, as the folks in Columbus Ohio are finding out with Intel. That, you know, maybe there's going to be a delay. So we get reminded that, you know, infrastructure moves along, the is a long-term project, and we would expect, you know, meaningful start points out there. Acquisition of land is happening, you know, in multiple spots in Central New York today, you know, to support the project. Things on the water and the, you know, sewer projects are underway currently. We know that Micron has filed their environmental impact reports. So I think it's moving along at a pace that's probably pretty reasonable. So for now, I think we're sort of hanging in there and thinking it's late this year, you know, underway from shovels in the ground standpoint and still looking at a production window. Sometime in mid twenty-seven, early twenty-eight.
Matthew Reeser: Appreciate all that. Maybe just turning to some of the forecasting items, you know, pre-income drivers particularly, you know, the big ones, wealth, insurance, retirement, all look pretty solid this quarter. And, you know, the market's been volatile. So I'm curious if you have any updated thoughts on how two q might shape up I'm not sure when those or how those fees are calculated on a, you know, average market basis or end of period. Could you update us on fees and expected that's kinda hopscotch a little bit, but expected loan growth in the second quarter as well.
Annette Burns: Sure, Matt. I can help frame that for you. So when we back out the BOLI gain that we had during the quarter, our fee income was about $46 million. There was a little bit of seasonality in our retirement plan services and our insurance, but in the second quarter, things like service charges on deposit accounts will kind of pick up. So, you know, all in, you know, the $46 million is probably a good run rate. From a market sensitivity, our most sensitive fee-based income to market is our wealth management business. About 70% of revenue is sensitive to market rates. And, typically, that you know, it's priced all within along the quarter, but a lot of it happens near quarter end. And RPS, our retirement plan services, that's probably about 32% market sensitive. And that kinda happens all throughout the quarter. So market volatility could have an impact on our run rate for the second quarter. But that probably helps you get a picture of the sensitivity towards that.
Scott Kingsley: And, Matt, I'll pick it up from there on your question relative to loan growth. Obviously, in the first quarter, but very modest loan growth, a couple of things. You know, we did not enjoy winter this year. Or I take that back. If you like winter, you had a really robust year in our marketplaces. But that's so I think some of the things that were projects or some of our customers got underway a little bit late. That being said, residential mortgage that we have historically been putting on the balance sheet, long-term resi mortgage, you know, did not have a very positive first quarter. You know, I don't think it's just our marketplaces where, you know, home sales were not robust. In the first part of the year. And we did actually sell a few more long-dated thirty-year instruments in the secondary market. Than we had in past quarters. More because we think that the demand going forward, including the West part of New York State, will mean that we should have all of our funding sources capable and retested, which is what we did in the first quarter. So if we were talking to you, Matt, a quarter ago and we said sort of a three to five percent growth rate, we're probably more in, like, the two to three percent thought process now after seeing the first quarter and understanding how some of our customers are dealing with macro uncertainty.
Matthew Reeser: Got it. I appreciate that. Last one for me is just on the charge-off. And I could totally be connecting the wrong dots here, but I feel like there was a larger commercial real estate credit from late twenty-three for a bunch of the upstate New York banks. Participation Am I right in kinda connecting those dots and could you refamiliarize us with the size and the credit your portion, and, you know, how do you feel about the reserve and where it was valued at? Relative to the collateral?
Annette Burns: Oh, you're correct. That is the same credit. And we now have remaining exposure to that credit right around $11.5 to $12 million. On our books. You know, it was written down to fair value, so we're feeling comfortable that that's that that we're good and there will be no further exposure there. Been disclosed that that's moving into foreclosure, so expect it might move maybe be a nonperforming asset but move into ORE in the sometime in the second quarter.
Scott Kingsley: I think the only other thing to add to that is the, you know, the occupancy rate of that property is in the low eighty percent. So, you know, generating positive cash flow today but, you know, the dynamics of, you know, the ownership base and the principal, whether it makes itself all the way through to foreclosure, we'll probably know that in the next four to six weeks. But generally speaking, you know, the revised appraisal based on existing tenants and, you know, other fixed costs in the property. Suggested that another write-down was appropriate for this quarter.
Matthew Reeser: Great. I appreciate that. Thank you. I'll leave it there.
Annette Burns: Appreciate it, Matt. One moment for our next question.
Operator: Our next question comes from Manuel Navis with D. A. Davidson. Your line is open.
Manuel Navis: Hey, good morning. The strong deposit cost pushdowns have really helped them in this quarter. Is there any more of that still to come? I'm sure there'll be some CD renewals, but other accounts as well. Is that kind of more stable and on pause with the Evans deal?
Scott Kingsley: Well, I'll start that. And then if we jump in, that I think you're accurate relative to we are making sure from a liquidity standpoint from an all sources of liquidity, that as we go into the Evans closing that we have ample in fact more than we need probably just to be cautious. With that said, we probably accelerated some of the deposit declines in the first quarter at a pace probably faster than we thought we were initially capable of, which probably means going forward without another Fed funds rate action, those will slow down. You know, our ability to, you know, to stay competitive and to keep our balances, it will be challenged in what there's another stimulus out there in the market to do that.
Manuel Navis: I heard a little bit slower growth just because of macro uncertainty. But you're still entering this deal with much stronger NIM. Any other kind of shifts to EBITDA expectations, or we'll kinda wait more for an update next quarter?
Annette Burns: I can share a little bit of our thought process around that based on some of our recent modeling. When we disclosed the announced the deal in September, we were expecting to see maybe about 5% tangible book value dilution and right around $0.38 of earnings accretion. Purchase accounting marks have decreased a little bit in our modeling, so we're probably a hundred basis points lower on tangible book value dilution, so right around 4%. And, you know, accretion for earnings is probably closer to $0.30, and that's assuming that all our cost saves and achievements are in place. Which we think that'll probably occur probably by the end of 2025. So, hopefully, that helps.
Manuel Navis: Yeah. That is helpful. Is there any shifts in your in your kinda go forward cost base just kinda on the legacy basis? How should I kind of think of it expense run rate going into the deal? And then we're layer in as it's on top of it.
Annette Burns: Sure. I can speak to that. Our expenses were about $98.7 million for the quarter. We think that's probably a good run rate for us, excluding Evans. During the quarter, you know, salaries and benefits were right around $61 million. Have some, you know, higher seasonal payroll taxes and stock-based comp, but that was off by, you know, fewer calendar days payroll days. So when we look into the second quarter, you know, you're adding additional payroll day and we have our annual merit increases in the month of March. So, really, that's gonna kind of offset each other, and we'll probably land right around $61 million in salaries and benefits as a good proxy for the quarter. You know, occupancy costs, you know, a couple hundred thousand dollars higher this quarter be just because of seasonal maintenance. And the harsher winter that we experienced. So that'll come in just a little bit. But all in all, I think the current quarter's run rate is a good proxy.
Manuel Navis: Okay. That's very helpful. Thank you for the commentary.
Operator: Again, ladies and gentlemen, if you have a question or comment. Our next question comes from Chris.
Christopher O’Connell: Good morning. Just wanted to follow-up on, hey, Scott. Just wanted to follow-up on the, you know, Evans update. You know, given that you provided the, you know, EPS accretion and dilution, which is helpful. Do you have an update as far as the overall, you know, purchase accounting accretion in the margin?
Scott Kingsley: I think it's safe to say, Chris, that any decline from what we described when we released in September on EPS accretion is all mark related.
Christopher O’Connell: Okay. Got it. And then, you know, as you guys are looking forward for your margin, you remind us how much, you know, fixed asset repricing, you know, I know you guys give the securities flows in the deck, but, you know, in particular, I guess, on the loan side over there, you know, remainder of 2025 and 2026 and you know, what those yields are coming off that?
Scott Kingsley: Yeah. So, you know, it you know, I think we have a short description of that in the deck, Chris, but as a quick reminder, we've got $2 billion of cash flows off the loan portfolio that we expect an opportunity to reprice on. And if I was framing that today, I would tell you that on the consumer side for us, which is really dominated by indirect auto, new production and existing portfolio yields are really close to each other. So we probably got or crossed over on that one. Whereas there's still a lot of pickup is on the commercial side, you know, where new production, you know, is in the ballpark of seventy-five to a hundred basis points over where we are today. And then secondarily is residential real estate. So we're not accounting we are not assuming a lot of volume in residential real estate where new loans are going on somewhere between six and a quarter and seven percent. You know, versus the existing portfolio yields, which are in the low fours. So if we were portfolioing all of our production you might get a little bit more, you know, beta on that particular side. But I think for now, just given where we are from a volume expectation, that opportunity for improvement is probably mostly focused on commercial cash flows.
Christopher O’Connell: Okay. Great. And then, you know, as you guys are looking at your markets and, you know, observing, I guess, in particular, some of the, you know, other consumer, you know, runoff portfolios is as well as the indirect. I mean, just a general sense of health on the consumer, you know, in your markets. More recently?
Annette Burns: So we're seeing, you know, not a lot of change to our delinquencies. We're, you know, feeling like their, you know, balance sheets are strong. What will really impact defaults and ultimately charge-offs is really linked to unemployment rates. So if economic conditions deteriorate and we're seeing higher unemployment, that's when we'll probably see the uptick in delinquencies and expect charge-offs.
Scott Kingsley: Yeah. We've yet, Chris, to see where any of our customers have told us that their inputs, their price of raw material has been impacted by tariffs or certain other price changes. But remember, you know, so much of that happened in April. We've seen a few circumstances around that, a few episodic things. You know, some of our customers that are more in Northern New York that might be buying things like feed, from Southern Ontario, are already experiencing tariff outcomes. So, you know but again, I would call them more episodic at this point than systematic.
Christopher O’Connell: Okay. Yep. And then just, you know, on the, you know, closing of the Evans deal, you know, you're obviously, you know, kind of pretty much there a week away at this point. So is there any, you know, runoff actions, balance sheet actions, you know, anything else kind of contemplated with, you know, the pro forma, you know, loan or securities books and kind of how to manage that, especially, you know, you guys have, you know, a good amount of liquidity here or anything that you'll be changing, you know, with your balance sheet just, you know, subsequent to deal close?
Scott Kingsley: So, Chris, not significant. I will say this, you know, once we knew that, you know, once we had announced the Evans transaction, we started to deploy, you know, some of on a leverage basis, buying some of securities a month for the last six to eight months. And why do we wanna do that? We wanna put ourselves in a position that if we made the decision to sell the Evans portfolio, you know, both from a duration or some other factor outcome that we were now buying securities all in one day or essentially all in one block of time. That's been pretty successful. Actually, that's worked really appropriately for us. Remembering that we have to probably think about having at least $200 million of investment securities to be able to collateralize the municipal deposits of Evans. So I would never expect the investment base to be lower than that. On a going forward basis on the Evans portfolio. And in fairness, you know, if we see some other opportunities, you know, to add to our investment portfolio productively where we think, you know, yields and durations, you know, peacefully coexist, we probably do that. Evans had a nice portfolio. You know, the assets were well selected for them. Is our preference for maybe something with a little bit lower duration? Probably. So I think it's likely we see some, you know, some modest churn of that portfolio, you know, after the close.
Christopher O’Connell: Great. And then just on overall, you know, M&A, I guess, what you know, what's your appetite, you know, here in this market given the kind of, you know, overall market sell-off a little bit more economic uncertainty. Are you guys still, you know, looking for deals post, you know, Evans' close and integration? And, you know, any change in kind of, you know, what you would be looking for, you know, given the change in environment?
Scott Kingsley: Yeah. So a reasonable question. I will say this with no uncertainty. We are fixated on one acquisition right now and that is Evans. And we will be fixated on that for a while because we think there's really, really good opportunities. They have a really high-quality group of people in the Rochester and Buffalo marketplaces. And we really would like to be able to support, you know, natural growth post-acquisition in those spots first. That said, are we capable of having discussions with other like-minded smaller community banks to either fill in spots in our existing franchise, you know, that now is about to go from Portland to Buffalo, improve some of our concentration in a few spots, Natural dialogue with smaller institutions happens all the time. And we've continued to have productive conversations. We'd like to think that we're a high-quality buyer. You know, from a standpoint of we're really looking for institutions that fit our needs. But I think, you know, we're, you know, we're again a credible buyer, and I think people look at us from a current standpoint for their own shareholders and say, you know, partnering with us is a reasonable way forward. So no current plans, but absolutely, you know, looking at our opportunities. At the same time, I think we've looked at some of our marketplaces, and I think we've said this before, where some of our concentration characteristics or we have some gaps in some of our coverage. So, you know, in 2024, we opened an incremental branch in the Malta area, you know, outside of Albany and in Binghamton. In the first quarter, we added South Burlington, you know, and we added our first branch in Rochester up in Webster. So we think we're capable of doing that on a selected basis. And there's some other marketplaces in a couple of parts of Northern New York, Southern and Lower Northern and Lower Hudson Valley, certainly some spots in Vermont, New Hampshire, and Maine where we're underrepresented from a concentration standpoint. So I think we'll be very deliberate about how we fill those in. But I see us doing that on both an organic basis and then evaluating whether there's a way to accelerate that, you know, with an M&A transaction.
Christopher O’Connell: Great. Appreciate it. Thanks, Scott.
Scott Kingsley: Thanks, Chris. Thank you.
Operator: Again, ladies and gentlemen, if you have a question or comment at. Our next question comes from Freddie Strickland with Hovde Research. Your line is open.
Freddie Strickland: Hey. Good morning. Apologies I have to go a little late, but I was just wondering on the credit side if you could is it fair to assume charge-offs are still likely led by auto and residential solar for the next quarters. And is there any other portfolios you're looking at a little bit more closely just with, you know, all the uncertain date?
Annette Burns: That's a good question. I would say, yes. The majority of our charge-offs will probably come from auto and the residential solar book. Our commercial charge-offs are much more episodic. And, you know, generally, can appropriately manage those. So I think that's a good way to frame it.
Freddie Strickland: That's perfect. And did just what was the total level of wealth assets under management and EPIC retirement assets under administration as fast forward. Right? I didn't see it in the in the deck this quarter.
Scott Kingsley: Yeah. Freddie, we'll Annette or I will get with you offline on that app after. I'm not sure that we brought that forward, you know, into any of the things that we presented today.
Freddie Strickland: Understood. Correct. I think everything else has been asked and answered, so thank you very much. Appreciate you taking my questions.
Scott Kingsley: Appreciate the question. Thanks so much.
Operator: And I'm not showing any further questions at this time. I'll turn the call back over to Scott Kingsley for his closing remarks.
Scott Kingsley: Thank you, Kevin. In closing, I want to thank everyone on the call for participating this morning and your continued interest in NBT Bancorp Inc. And we look forward to catching up with you at the end of July, you know, after we've gotten through the Evans transaction, which for us is really, really exciting and something we're really looking forward to. So appreciate the support and appreciate the questions. Talk soon.
Operator: Thank you, Mr. Kingsley. This concludes our program. You may now disconnect. Have a great day.